Operator: Welcome to RPM International's conference call for the fiscal 2009 first quarter. (Operator Instructions) Comments made on this call may include forward-looking statements based on current expectations that involve risks and uncertainties which could cause actual results to be materially different. For more information on these risks and uncertainties please review RPM's reports filed with the SEC. During this conference call references may be made to non-GAAP financial measures. To assist you in understanding these non-GAAP terms, RPM has posted reconciliations to the most directly comparable GAAP financial measures on the RPM website. At this time I would like to turn the call over to RPM's President and CEO, Mr. Frank Sullivan, for opening remarks; please go ahead sir.
Frank Sullivan : Welcome to RPM’s fiscal 2009 first quarter conference call for the quarter ended August 31, 2008. Needless to say we are in a tough economic environment. Fortunately RPM’s longstanding deliberate strategy of balancing our businesses between those serving consumer markets and those serving industrial markets as well as the growth strategy of combining organic growth with the pursuit of small to medium sized acquisitions has allowed RPM to generate positive growth despite the economic conditions we are facing. We are pleased to be able to generate record results over last year’s first quarter record sales and earnings. During the first quarter we experienced a perfect storm in our consumer segment through a combination of weak retail traffic and consumer takeaway across all of our retail and consumer business channels, combined with another round of significant raw material costs which hit RPM companies in May of June of this year, driven by the end of spring $130.00 oil price which at the time was expected to continue to move higher, all of which occurred in time to negatively impact our first quarter. Additionally the new products which we have been discussing since of the end of the last fiscal year were not fully sold into our retail distribution until the middle or end of the first quarter. We responded with another round of necessary price increases of our own though most of these also were not initiated until the middle or end of the first quarter. These elements combined to result in the worst quarterly performance of RPM’s consumer segment businesses in recent memory. Fortunately continuing solid results from our industrial segment businesses, especially from those businesses serving strong global industrial capital spending investment and involved with major maintenance spending in areas of oil and gas, mining, power generation, marine, offshore, and other heavy industries generated record sales and earnings results over last year’s first quarter all time record results for our industrial segment. With these opening comments I’d now like to turn the call over to Kelly Tompkins, RPM’s Executive Vice President, Administration and Chief Financial Officer, to provide you the details of the quarter after which I will provide comments on our outlook for the rest of the year and then we’ll look forward to answering your questions.
Kelly Tompkins : Thanks Frank and good morning everyone, thank you for joining us on today’s call. Looking at our first quarter consolidated sales, we see an increase of 5.9% quarter-over-quarter to $985.5 million, acquisitions most of which related to our industrial segment accounted for roughly 60% of the quarter’s sales growth net of the divestiture of our Bondo subsidiary which was completed during our second quarter last year. Organic growth accounted for the balance driven by price increases and foreign exchange, principally the Euro, both of which offset unit volume declines. We’ll now take a look at our segments; industrial segment sales of $697.6 million which is about 71% of our consolidated sales grew 14.6% over last year. Acquisitions accounted for roughly 60% of the industrial segment quarter-over-quarter net sales growth. Unit volume in industrial was up slightly with price and foreign exchange accounting for most of the quarter’s organic growth. Looking at the consumer segment sales of $287.9 million, were down 10.5%. Excluding the impact of our sale of Bondo, net consumer segment sales were actually only down about 4.8%, the bulk of which was due to lower unit volume. Sales to homes centers, mass retailers, and distributors were sluggish during the quarter reflecting weakness in the overall economy. We are however maintaining market share at our key accounts in our core consumer product lines. Our new high value added consumer products broadly launched in the first quarter by Rust-Oleum and DAP specifically our universal and 3.0 products, have experienced good initial market acceptance but the full potential sales and margin impact of these new products has not yet been reached. Overall both products are generally on track with our planned expectations. Looking at consolidate gross profit of 41% in the quarter, down from 41.3% last year due primarily to the lag between our subsidiary’s announced price increases versus their realized raw material cost increases. Last year’s trend of high energy prices continued into the first quarter this year resulting in upward pressure on many of our raw materials, packaging and transportation costs. Industrial segment gross profit margin of 41.8% declined slightly by 20 basis points from 42% last year reflecting higher raw material costs which were substantially offset by price increases. Consumer segment gross profit margin of 38.8% declined 110 basis points from 39.9% last year due again to the realization of higher raw material, packaging and transportation costs that were not sufficiently offset by price increases and favorable product mix. Looking at consolidated SG&A increased to 29.7% of sales from 29.1% last year principally due to the loss of leverage from volume declines in the consumer segment which were somewhat offset by cost reductions. Industrial SG&A was essentially flat to last year as a percent of sales from 28.8% to 28.7%. Consumer SG&A increased as a percent of net sales to 26.8% from 26.3% last year due again principally to the loss of leverage from volume declines in the consumer segment which were somewhat offset by expense reductions. Corporate other expense increased $4.1 million to $15.3 million from $11.2 million last year; the primary driver was unfavorable foreign exchange due to the strengthening dollar during the first quarter primarily relative to the Canadian dollar. Looking at EBIT on a consolidated basis, EBIT dollars declined 1.7% to 11.3% of net sales compared to 12.2% last year due principally to raw material costs and the loss of leverage from volume declines mentioned previously in the consumer segment. Industrial EBIT dollars increased 13.9% from $80.4 million last year to $91.6 million driven by solid organic growth and strong acquisition contribution. As a percentage of net sales industrial EBIT remained essentially flat. Consumer segment EBIT dollars decreased 20.8% from $43.7 million last year to $34.6 million this year from a combination of the Bondo divestiture net raw material cost increases and [excessive] price increases and unit volume declines. Net interest expense decreased $2.1 million from last year driven by lower interest rates and lower average borrowings during the quarter. Interest rates this quarter averaged approximately 5.4% compared to approximately 6% in last year’s first quarter. Our effective tax rate for the quarter was 30.7% compared to 31.8% last year. The year-over-year change reflects the differences in projected US state and local income taxes, lower effective rates on foreign sourced income, incremental utilization of foreign tax credits, and the overall jurisdictional mix of income. Down to net income of $69.5 million which represents a record for a first quarter with an increase of $1.2 million or 1.8% from last year’s net of $68.3 million. Diluted EPS of $0.54 this year represents a record first quarter, up 1.9% from last year’s $0.53. I’ll wrap up with a few brief comments on the balance sheet and cash flow starting with our asbestos accrual, at August 31, our total asbestos liabilities stood at $543.7 million with $65 million in current and the balance reflected in long-term liabilities. Year-over-year asbestos payments declined nearly 30% to $16 million which included $9.3 million for settlements and $6.7 million for defense which compares to last year’s total payments of $22.8 million which included $14 million for settlements and $8.8 million for defense. We secured dismissals and/or settlements of 201 cases this year compared to 365 during last year’s first quarter and I would note in our 10-Qs we provide the details including the note that the number of cases resolved in any given quarter can vary widely. In terms of total active cases at the end of the first quarter, cases stood at 11,399, sequentially up about 2% from the May 31 case load and up about 4% from last year’s first quarter. Continuing the trend that we’ve experienced over the last many quarters overall number of new case filings in the first quarter is 20% below new case filing levels during last year’s comparable period. Finally there are no new developments to report in our insurance case as we continue to await the Judge’s ruling on the key liability issues in the case. Capital expenditures for the quarter were $12.2 million versus $5.5 million during the first quarter last year principally due to the timing of various projects which was anticipated fully in our overall CapEx plan. Our CapEx estimate for the full year is approximately $70 million compared to $71.8 million of CapEx for fiscal 2008 and we will continue to evaluate our CapEx requirements as business conditions dictate. Depreciation expense for the quarter at $16.4 million compared to $15.4 million for the first quarter last year. Amortization expense at $5.8 million compared to $5.4 million last year. I’ll now briefly look at our year-over-year working capital, particularly receivables and inventory, and you’ll see that for receivables our days' sales outstanding increased about two days from the first quarter last year. In terms of receivables it is worth noting that we have not experienced any unusual collection issues with our customer base. Looking at inventory, days of inventory increased 1.1 days from the first quarter all of which related to our consumer segment. In light of current conditions in the credit markets, I’d like to wrap up my comments with a couple of remarks with respect to our capital structure, debt maturities and overall liquidity position. As many of you will recall our senior convertible notes were converted into RPM common stock on July 14 which reduced our total debt to $972 million. Since May 31 total debt was reduced by about $100 million, the major elements of this debt reduction were the $150 million of debt converted to equity offset by approximately $25 million increase in debt for share repurchase activity and about $25 million for working capital needs on our revolver. As a result our debt to capital ratio net of cash stands at 37.9% compared to 42.6% at May 31 versus 43.1% last August quarter. Our next debt maturity is not until October, 2009 which is a $200 million bond. The next bond maturity after that is not until December, 2013. The term of our five year revolving credit facility extends through December, 2011. Liquidity at August 31 stood at $548 million with approximately $201 million in cash and $347 million available through our bank revolver and accounts receivable securitization facility. During the first quarter we repurchased approximately 1.2 million shares of RPM stock for a total of $24.4 million at an average price per share of $20.19. Our current capital structure is appropriately resilient and should provide the flexibility to take advantage of growth opportunities as they arise. With those comments I’ll turn the call back over to Frank for some wrap-up comments.
Frank Sullivan : Thanks Kelly, from an outlook perspective for our existing consumer segment businesses we would expect flat sales and earnings results for the remaining nine months of the 2009 fiscal year. We are currently seeing improved results sequentially from our weak first quarter performance in our core product lines. This means that our second quarter consumer segment results will be down somewhat from the prior year as a result of the impact of the Bondo divestiture which occurred at the end of November, 2007. For the second half of the year we would expect the consumer segment to be flat through a combination of flat to down unit volume, the impact of the price increases which were initiated in July and August of this year, and a combination of these price increases, full distribution of new products which we currently have and expectations that raw material costs will remain flat, if not trend down for the balance of the year result in this expected improvement in our consumer business product line sales and earnings for the balance of the year versus our first quarter results. For the balance of the year our industrial segment sales and earnings should be in the range of 5% to 8% in growth year-over-year. We would expect the industrial results to trend downward from the strong first quarter as we progress throughout the year in anticipation of the negative impact of slowing US commercial construction markets. This outlook assumes that raw material costs stabilize where they are today. It does not anticipate any further raw material cost increases nor does it anticipate any significant raw material decreases. As we speak it appears as if certain significant raw material costs are weakening though there is still much volatility across all of our materials. As a result of our first quarter performance and our current anticipated outlook for the balance of the year, last week we changed our guidance for the year from $1.85 per share to a range of $1.75 to $1.85 per share. Aside from the market challenges our tax rate for the full year which will be above last year’s tax rate of 29% and which as you’ll recall recurred mostly as the result of second half one-time tax benefit events and the impact of foreign exchange translation on our results which unlike in past years, this year will likely cost us $0.02 to $0.03 per share are the factors that have resulted in our change in guidance to a rather broad $0.10 per share range. This concludes our formal comments on the first quarter. We would now be pleased to answer your questions.
Operator: (Operator Instructions) Your first question comes from the line of Analyst - KeyBanc Capital Markets
Analyst - KeyBanc Capital Markets: International market was pretty strong on your industrial side during the first quarter, are you seeing any weakness in business in Europe and is that implied in your guidance now and could you tell us what your guys are telling you they’re seeing in Europe?
Frank Sullivan : At this stage with the markets that we serve, we are not seeing any real weakness in our international markets. Again a lot of that is heavy industry, oil and gas, power generation, basic maintenance. We have also benefited from acquisitions in Europe, both good acquisitions that fit within RPM and acquisitions that we’ve been able to leverage revenues with some of our existing businesses. So all those have been strong. We are acutely aware of concerns particularly in the UK and also in Western Europe but to date in the markets we serve, we’re continuing to see decent strength.
Analyst - KeyBanc Capital Markets: When do you anticipate you’ll see some contribution or margin improvement from your new products? Do you think due to the lightness in consumer it’ll probably be longer then expected or do you expect to see that next quarter or going forward?
Frank Sullivan : It took us longer then we thought related to the new DAP and Rust-Oleum products to get full distribution. Unfortunately that happened by the end of the first quarter so we didn’t have the impact in the first quarter that we had anticipated. The take away particularly for the Rust-Oleum universal product is meeting expectations. Having said that the weak retail environment in general and just lighter foot traffic at a lot of our major accounts is having an impact across all of our product lines. But from a product mix perspective and a distribution perspective along with the impact of price increases that we were able to affect at the end of the first quarter we would expect to see better results out of our core consumer product lines in the second quarter and for the balance of the year.
Analyst - KeyBanc Capital Markets: The M&A activity, I know you just go after a certain size and type of business which tend to be smaller, with the credit markets being as they are have you seen even that pipeline sort of freeze up or is it pretty active still?
Frank Sullivan : The small to medium sized type acquisitions that have long been the bread and butter of RPM are still very much active. Valuations are trending down a little bit and keeping in mind that our valuations there were never at the crazy levels of trying to compete with private equity because we didn’t compete with private equity in that space. So there’s still good activity there. It will be interesting to see in the next six to 12 months what happens in larger transactions because you’ve got some highly, highly levered private equity businesses, some in our space, who with revenues going the wrong way are having a real challenge and the market for larger deals is real poor right now just because financing is either non-existent or very costly which obviously would significantly impact valuations and deal prices.
Operator: Your next question comes from the line of Jeffrey Zekauskas – JP Morgan Securities
Jeffrey Zekauskas – JP Morgan Securities: For fiscal 2009 why wouldn’t you expect your raw material costs not just only be flat or stabilize, why shouldn’t they be down, maybe talk about which materials are not moving down as quickly as you would think.
Frank Sullivan : Related to raw materials, the impact of raw material pricing from a lot of our major raw material suppliers that hit our industry couldn’t have happened at a worse time for RPM relative to our first quarter which is a June, July, August period. As you know our major raw material suppliers on the chemical side almost globally because of just this dramatic increase in oil prices in the spring and expectations that that would continue, pass-through surcharges and major raw material prices which on announcement typically take 30 to 60 days to show up in terms of our actual material costs in terms of what we’re putting in our products. So that’s what impacted us in the first quarter. Obviously there’s been a significant reversal in commodity prices in the market today. We are seeing that in some areas of metals, copper, zinc, some of that and we are seeing softness in certain areas. But the volatility of the capital markets and the commodity markets are such that we would be hesitant to predict significant raw material declines although we’re certainly hopeful that that will happen and commodity chemicals being what they are it will happen eventually. But our outlook for the balance of the year does not anticipate as I indicated higher costs, but it does not also anticipate significantly lower costs and we think that’s the right stance to take given the volatility of the markets today.
Jeffrey Zekauskas – JP Morgan Securities: I would think with some of the consolidation that may happen on the commodity chemical side, there’s an interest to secure sales in the first year of these merchants which you think would be beneficial.
Frank Sullivan : I hope you’re correct and again we’re seeing some softness and if you look at the basic commodity prices as they’re traded which suggests that raw materials are going to be coming down and perhaps in certain areas significantly, but it takes some time for base commodities and their price movements to work their way into finished products.
Jeffrey Zekauskas – JP Morgan Securities: On the consumer side, given the obvious strain that the consumer will be under is the outlook sort of flat consumer demand the second half of fiscal 2009 too optimistic?
Frank Sullivan : The long-term trend for our type of consumer products which are small project, basically maintenance, repair, decorative, we feel is still bullish. There’s been a massive housing build which is obviously a big part of our capital market and credit crisis now. But once things settle down that’s just a bigger inventory of homes that use our products for maintenance, repair, and small project decoration purposes. As I implied in the second quarter we are seeing in some of our core product lines relatively flat results which is a combination of slight declines in unit volume covered by the first quarter price increases and given the nature of our products we are outperforming same store sales in general and in our category in our big accounts and you would expect us to have greater strength versus bigger ticket items once housing prices settle out and its sort of our expectations from the barrier solutions folks at our Tremco business that are directly involved in residential new construction that the residential housing market in North America will bottom out in terms of volume, movement and pricing in the spring of 2009.
Jeffrey Zekauskas – JP Morgan Securities: On the industrial side, through August it seems that volumes have been flattish, outside of acquisition and currency, what type of step down on the core business excluding the acquisitions would you expect if commercial construction is beginning to dry up and if maintenance projects begin to be delayed?
Frank Sullivan : Two comments on that, number one our industrial businesses are literally dozens of different product lines and different operating companies so in some of our businesses we are still seeing strong single-digit core unit volume growth and these would be more international markets and heavy maintenance or industrial capital spending areas. A few of our industrial businesses are involved and not to any great extent but are involved in specialty OEM coatings in wood and metal and that unit volume is down. So the reality of unit volume in our industrial segment is a mixed bag, product line by product line and company by company. As it relates to anticipating challenges during the first quarter we took about $2.5 or $3 million of severance expense. A portion of that was in our consumer product lines and quite honestly was maybe a little late and another portion of that was in our industrial product lines that was related to our concerns over the commercial construction markets which are not being materialized today but we’re pretty certain given the lack of project financing today that there is a hole out there in commercial construction, maybe six months from now, and so we are ahead of the curve on that in terms of addressing expense reductions and in some cases personnel costs.
Operator: Your next question comes from the line of Kevin McCarthy - Bank of America Securities
Kevin McCarthy - Bank of America Securities: In going through the process of revising your range to $1.75 to $1.85 recently, could you comment on the assumptions that you’re using for macro growth either in terms of GDP or industrial production?
Frank Sullivan: Number one, the way we come to our outlook is really bottoms up, company by company and so we get on the phone our go out in person and meet with each of our operating company presidents or as many of them as possible, and really understand the dynamics of their business, the impact of new products, and the markets they serve. And so we build our outlook from the bottom up not from some macro economic forecast. The second area that really drove us to change our guidance was the fact that there were some analysts that still had expectations despite dramatic changes in economic conditions of us growing 8, 10, 12% year-over-year. Our original guidance of $1.85, and I’ll be real emphatic about this, was versus last year’s results of $1.81 ex the asbestos charges. That’s $0.04 per share over the whole year and we had a number of analysts as recently as a few weeks ago who had that or more expectation in our first quarter and it’s not going to happen. For the reasons that we outlined today, we believe we can meet or slightly beat our performance last year. The two areas that are toss-ups in terms of how we finish the year is what does our tax rate, and I think the right tax rate to use as we speak today is about 31%, what does our tax rate look like at year end versus the 29% we had last year because of some extraordinary one-time tax benefits? And what does the impact of foreign exchange do with a larger international presence and a strengthening dollar? And so those were the factors that really caused us along with just the deteriorating economic environment to change our guidance to a broader range of $1.75 to $1.85 and that market deterioration is really what keeps us in a good touch with our operations to do kind of a bottoms up check of where they feel they are and where they feel they’re going. The last comment is that particularly in a number of our industrial businesses we’ve got backlogs or outlooks that are pretty good ranging anywhere from three to six months and so that also gives us some comfort. The commercial construction product lines are a good example. We’re showing some decent growth and some decent profitability in those as we speak but we see with the cancellation of some projects and the anticipation of other projects not getting funding, that there’ll be weakness there starting in the spring of next year.
Kevin McCarthy - Bank of America Securities: You repurchased 25 million in shares last quarter, obviously there’s been tremendous volatility in both the credit markets and the equity markets, what are you most updated thoughts on use of free cash flow and should we expect activity of repurchases to trend at a similar rate or are you inclined to get more aggressive or less aggressive in this market?
Frank Sullivan : Certainly our stock is a compelling investment today. We’re trading at below nine times earnings and that assumes the low end of the range we just talked about with a dividend yield of nearly 5%. Having said that we’re also seeing some good values in acquisitions. We have a regularly scheduled Board meeting on Friday in conjunction with our Annual Meeting which will be Friday afternoon, and your question will be at the heart of an interesting debate with our Board of Directors as to how aggressively or prudently we want to utilize that $500 million of liquidity in the coming months.
Kevin McCarthy - Bank of America Securities: Is there any update on your case against the insurers, any news or milestones we should keep in mind out of Judge [Aldridge’s] chambers?
Frank Sullivan : Exercising CEO prerogative to take the easy questions and defer on the tough one and let Kelly answer that one.
Kelly Tompkins : The simple answer is no, there are no new developments. We continue to explore every option we can to make it known to the Judge that we would greatly appreciate and expedited ruling and we’ll continue to do that but at this point there’s no new developments to report.
Operator: Your next question comes from the line of Rosemarie Morbelli - Ingalls & Snyder
Rosemarie Morbelli - Ingalls & Snyder: I was wondering about some news which has popped up in the last couple of days, regarding the increase in sales of existing homes in California, those are either due to lower prices or foreclosures. But if some of those existing homes are selling are you beginning to see some pickup in your product lines in that particular area going to either the contractor market or the do-it-yourself market and if not yet, how long does it take before you actually see a change?
Frank Sullivan : Number one just to reemphasize, we had a terrible quarter in consumer in the first quarter. We are seeing improvement sequentially and what that means is that unit volume declines are less and in combination with price increases we’re hopeful to be flat. On the industrial side and I referenced this earlier our pure play business which is a relatively small piece of Tremco as our Tremco barrier solutions business which is the leading producer of below grade insulation and water proofing for residential home new construction, the president of that business unit for the last two years has been consistently more bearish on new housing starts and what was happening in the housing market then the economists that you read in the paper and unfortunately he was correct. His current view and he’s been pretty accurate is that new home starts, this is new construction and most importantly housing values related to new homes and resale will hit bottom and begin to flatten out and then grow from there in the spring of next year and so we’re not any financial experts and so other then what we read in the newspaper including the feedback from people that are very close to that market tells us that we’re probably spring of next year until you start to see a bottoming out and therefore a pickup in home values, home turnover and a new residential construction base to grow from as opposed to one that will keep shrinking.
Rosemarie Morbelli - Ingalls & Snyder: I was mostly looking at the existing homes whose price has come down and therefore some buyers are now back into the market, so when this occurs as they said it did in August on the news, how long before your do-it-yourself market at the big boxes actually see some movement?
Frank Sullivan : I can’t answer that question other then repeating what I said earlier which is specialty primers and caulks and sealants, patch and repair products, decorative paint are the types of products that people use to spruce up their house when they’re going to sell it and I would expect given the low ticket items of our products, that those are the types of touch up, repair and remodeling that people will do and spend their money on before they start spending their money on $200 faucets or thousands of dollar of kitchen makeovers or bathroom makeovers. I think the nature of our products are such that we should benefit from that but I can’t tell you having just reviewed our first quarter that we’re seeing it yet.
Rosemarie Morbelli - Ingalls & Snyder: Can you give us a better feel as to why it took longer to get your new products out to the distribution channels? Is it just because of the weak demand in those particular areas or is something else behind it?
Frank Sullivan : I can’t really answer that question other then account by account, we got distribution in some accounts slower then we anticipated. We didn’t anticipate full distribution until the end of July, some of that didn’t hit retail shelves until August. Those are the facts. The story as to why is really a customer by customer story.
Rosemarie Morbelli - Ingalls & Snyder: You said that larger deals were becoming a little more affordable because of the credit crunch, if you were to find a larger deal at your price level, is that something that you would be interested before the end of this fiscal year or do you feel that you should stay away from those kinds of things for another couple of years?
Frank Sullivan : I think that our capital allocation of free cash flow and liquidity will be focused on a combination of small to medium sized acquisitions like we’ve done in the last couple of years and repurchases of RPM stock particularly at the levels that we’ve seen in the last couple of days. So it’s unlikely that we would pursue or do a major acquisition in the next nine months. Having said that, there are some real chinks in the armor of major private equity deals who were done particularly in the last 12 to 24 months where they’ve got highly, highly levered structures and to the extent there are in our space and volume is coming down, they’re probably bumping into some cash flow problems, so I think that once the capital markets free up to strategic buyers like us, there’s going to be some interesting transactions that you will see down the road to come out of some of the more recent highly levered private equity deals.
Rosemarie Morbelli - Ingalls & Snyder: How much are you willing to get your leverage back up to?
Frank Sullivan : Again between now and the end of this fiscal year I would be willing to bet that our acquisition activity looks like it does the last couple of years which is somewhere between $100 to $150 million of small to medium sized product lines or businesses and share repurchases to the extent they’re warranted that best would be in that same range. As Kelly commented we spent about $25 million on share repurchases in the first quarter. We have been active in repurchasing our stock through today and we will report as we’re required to do the share repurchase activity for the second quarter when we report second quarter results.
Rosemarie Morbelli - Ingalls & Snyder: Beyond fiscal 2009, how much would you be willing to leverage for one of those?
Frank Sullivan : Beyond fiscal 2009, historically we’ve been able to stretch our debt cap ratio between 40% and 60% and maintain our investment grade rating. So we would structure a transaction in order to do that, maintain and investment grade rating we think at middle BBB or low BBB is the right space to be. And given the right opportunities and the right deal structure I can certainly envision us in 2010 or 2011 taking a hard look at larger transactions.
Operator: Your next question comes from the line of [Brian Geiger] – Merrill Lynch
[Brian Geiger] – Merrill Lynch: You talked about debt, do you have a target level for leverage ratio, say debt to EBITDA or how you target what kind of debt ratios you would like.
Frank Sullivan : Historically our debt cap ratios range from 40% to 60% which has allowed us to maintain an investment grade rating and so we like the middle BBB lower BBB space in terms of the flexibility it allows us to use our cash flow and balance sheet. Historically at least the relative modest premium you have to pay versus a much stronger credit rating. Also historically there’s been a significantly bigger cost of being non-investment grade. That cost today is astronomical. So I think if you look at our track record over the last 30 years particularly as it relates to larger acquisitions in every instance where necessary we have utilized equity or some equity like piece of the capital structure to fund a large acquisition to maintain an investment grade rating and that would not change in the future. Obviously the cost of debt and any additional shares would be factored into the price of an acquisition because we have also never done a deal that was immediately dilutive and we’re not likely to do that either. In the interim, I think over the next six to nine months, we are going to be relatively prudent by focusing on the types of acquisitions we have over the last couple of years and modestly continuing share repurchases. In our view this is not the time to overstretch your capital structure and with $547 million of current liquidity I think we’re in pretty good shape to take advantage of good priced acquisitions of moderate size and at these levels repurchase our stock.
Operator: Your next question comes from the line of Daniel Rizzo - Sidoti and Co.
Daniel Rizzo - Sidoti and Co.: With your acquisitions is there a geographic region you’re focusing on, more in Europe versus the US or is it not the case anymore?
Frank Sullivan : It’s a little bit of a mixed bag but we’re seeing more opportunities overseas because we’re looking harder overseas. The European marketplace is still much more fragmented looking kind of like the US did 10 or 20 years ago in our space. A lot of family businesses and we’re seeing more and more opportunities that are driven by the [eurozation] of Europe which is relatively old news. Its also driven by the huge consolidation in our industry with [Axo] buying ICI and PPG buying Sigma, its really picked the interest of well run, typically nationally leading branded, not continent leading branded construction chemical or sealant or paint and coatings companies that are family owned. And that’s really good news for RPM because nobody can buy and work with particularly a management that stays solid family owned businesses like we can. That’s part of why we’re seeing more European opportunities. We’re also looking more aggressively in Europe and India and in Latin America then we have in the past. Opportunities that pop up in the US are things that we would continue to pursue to the extent that they’re a good strategic fit at the right price.
Daniel Rizzo - Sidoti and Co.: I know you don’t know what’s going to happen with raw materials but if there was a significant decline in raw material costs, would there be a situation where you have to give back some of your price increases?
Frank Sullivan: Not likely. If you look at the brands that we have and the strength of those brands, we have not had to do it in the past. We’ve got about 300 to 400 basis points of deteriorated gross profit margin in some of our core brands including consumer so we’ve got a long way to go to fight back to get to where we were some time ago. Given the nature of our products, which in almost instance are the high priced, high value product, there’s less pressure on us in that regard then there are on non-branded commodity areas. So that’s been our history and that certainly would be our expectation. I think the challenge and all of our operating people are acutely focused on it is we need to maintain our revenue base and our forward momentum on growth where we have it because that’s the environment where if we see significant declines in raw materials you will see our bottom line improve. If the raw material environment deteriorates so rapidly that it’s reflective of a rapid and really deep deterioration in an economic environment way beyond where we are, then our challenge will be to maintain our revenue base. Changing a down revenue base, chasing down crashing raw material costs with declining revenues is not where we want to be.
Operator: Your next question comes from the line of Robert Felice – Gabelli & Company
Robert Felice – Gabelli & Company: How much were raw material costs up during the quarter and what was the delta between pricing and cost inflation?
Frank Sullivan: In our consumer segment it was relatively significant and in our industrial segment price increases basically covered cost increases.
Kelly Tompkins : In consumer raw material cost increases cost us about 300 basis points. We offset about a third of that with price increases; a little better coverage on the industrial side where price and mix covered most of the raw material cost declines.
Frank Sullivan : Some of that is also just a function of timing and one of the reasons that we feel better about our ability sequentially to improve our performance is we were chasing particularly in consumer significant raw material price increases that hit us in May and June with our own product price increases that really weren’t implemented until the end of July or August or in one instance in September in terms of its actual implementation date.
Robert Felice – Gabelli & Company: So part of your optimism as we look out to the remainder of the year is your ability to close that price cost gap in consumer?
Frank Sullivan : That’s correct. If raw material prices stay flat which we’re pretty confident they will, then you’ll see some of that picked up in the second quarter just as a function of the timing difference between when the last raw material costs hit us and when our price increases went into effect. I can tell you there’s still volatility out there but fortunately it’s the type of volatility of up and down spikes that suggest that maybe the trend isn’t, when you hit volatile charts sometimes they indicate that these more solid trend line is going up, hopefully this indicates that the more solid trend line is going down.
Robert Felice – Gabelli & Company: You had anticipated that raw material costs would be up in the high single-digit, low double-digit range for fiscal 2009; it seems as though you’ve tapered that a bit.
Frank Sullivan : Well we got whacked really hard by chemical raw material price increases at the end of spring and early summer but what’s changed our outlook is is that we think given the underlying economic dynamics and some of the supply and demand issues as well as some of the capacity that we’ve been taking about in places like China which is now coming on stream, that we will not see further raw material price increases with some exceptions. Again as we speak there are a couple of areas where material costs are defying logic and there are a couple of areas where we’re actually seeing some softening in pricing for the first time in years.
Robert Felice – Gabelli & Company: You had alluded to the fact that you’re seeing dynamics in the credit market hamper customers’ ability to finance projects and then starting to see the credit crisis spill over to Main Street, so I’m wondering to what extent you’ve seen that, to what extent you anticipate that dynamic accelerating in the current environment and to what extent its baked into your guidance?
Frank Sullivan : We are not seeing that in our normal customer base, my reference was really to what we’re seeing in the total lack of current funding principally in North America for commercial construction projects. The good news is that the dynamics at least in North America which we have a better view on, the statistics of commercial building looked nothing like the way out of whack, overblown statistics in residential. But if we suffer through a period of three to six months where there’s relatively little financing available for new projects, at some point in the future there’s going to be a period of three to six months where our activity and anybody’s activity that serves that commercial new construction market is going to be down. And that is baked into our numbers anticipating after the first of the calendar year that we will see that slowdown significantly. And as I mentioned we are taking some action now and in what we anticipate to be some of the more effective product lines in terms of expense reductions and unfortunately in some areas personnel reductions as well. That’s ahead of the curve versus kind of where we’ve been in our consumer businesses which is responding to the raw material challenges that we got hit with at the end of the spring.
Robert Felice – Gabelli & Company: So it’s fair to say that you’re putting plans in place to deal with it but you haven’t yet seen it?
Frank Sullivan : That’s correct. We’re seeing some slowing but and just anecdotal; AIG was a not insignificant funder of commercial construction projects. We’re aware of a couple of projects that we were specified on that were cancelled because AIG funding was cancelled. And that’s just two anecdotes but if you look at that and take a hard guess at what’s happening in the credit markets and its impact on commercial construction that’s what’s got us anticipating a slowdown.
Operator: Your final question comes from the line of Amy Zhang – Goldman Sachs
Amy Zhang – Goldman Sachs: Yesterday I saw a press release saying PPG believes the US housing market is bouncing along the bottom, so I’m wondering what’s your view on that and also have you seen demand trends in the home improvement channel or market hit the bottom or will it hit bottom soon? So excluding the factor of any easy comp from the last year do you expect some underlying demand improvement heading to the second half of calendar year 2009?
Frank Sullivan : As I mentioned earlier, we think that the few people that are experts within RMP feel that residential construction and turnover and related house price which is the decline in home prices, I guess the critical element that’s hurting the economy will bottom out in the spring of next year. I hope that PPG’s analysis of sounds like a bottoming out as we speak is correct because if it is, it will result in better performance for our core consumer products and also better performance in a couple of our industrial segment businesses that serve residential new construction. But our outlook and what’s baked into our outlook for the year is that we won’t really see any growth from a solid base until at least the spring of 2009.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Frank Sullivan : With an outlook for a flat to slightly up year, on top of all time record results which we generated in 2008 if you look at RPM stock price today, just at the low end of our current 2009 guidance we are trading at less then nine times earnings and provide a solid 5% cash dividend yield. Additionally we have substantial liquidity to continue to pursue the disciplined, small to medium sized acquisition activity that’s been the hallmark of RPM, but in this environment perhaps at lower values then we’ve had to pay in the last couple of years. There has never been a better time to buy RPM stock and we are putting our money where our mouth is. Thank you for your time on our call today and for your interest and investment in RPM.